Operator: Good day, ladies and gentlemen, and welcome to the Q4 2013 Bio-Rad Laboratories, Inc. Earnings Conference Call. My name is Ben, and I will be your operator for today. [Operator Instructions] I will remind you this call is being recorded for replay purposes. And I would now like to turn the call over to Mr. Ron Hutton, Vice President and Treasurer. Please proceed, sir.
Ronald W. Hutton: Thanks, Ben. Before we begin the call, I would like to caution everyone that we will be making forward-looking statements about management's goals, plans and expectations. Because our actual results may differ materially from these plans and expectations, I encourage you to review our filings with the SEC where we discuss in detail the risk factors in our business. The company does not intend to update any forward-looking statements made during the call today. With that, I'd like to turn the call over to Christine Tsingos, Executive Vice President and CFO.
Christine A. Tsingos: Thanks, Ron. Good afternoon, everyone, and thank you for joining us. Today, we will review the fourth quarter and full year results for 2013 as well as provide some insight into our thinking for 2014. With me today are Norman Schwartz, John Goetz and Brad Crutchfield. Let's start with a review of the quarterly results. We are pleased to report that net sales for the fourth quarter of fiscal 2013 were a record $602.6 million, an increase of 5% versus the year ago period sales of $573.8 million. On a currency-neutral basis, quarterly sales were 5.7%. During the quarter, we experienced good currency-neutral sales growth across many of our product lines, most notably in our Life Science group, including continued strong sales of our Droplet Digital PCR products and $6 million of sales contributed by our new antibody business. Excluding currency and the addition of AbD Serotec, organic sales increased 4.7% compared to last year. The consolidated gross margin for the quarter was lower than expectations at 53.6% and compares to last year's gross margin of 54.8%. The decline in margin versus last year is primarily reflective of product mix, increased amortization costs and $2.6 million of expense associated with some manufacturing consolidations in the U.S. and Europe. During the quarter, we recorded a total of approximately $8.3 million in cost of goods sold for the noncash purchase accounting expense related to acquisitions. This compares to $6.9 million in the year ago period. SG&A expense for the fourth quarter was $214.6 million or 35.6% of sales compared to $188.9 million or 32.9% of sales last year. The increase in spend versus last year is partially related to incremental costs associated with the acquired antibody business as well as for our ERP project. The current quarter SG&A also includes an additional $14 million accrual in connection with our ongoing efforts to resolve the previously disclosed investigation related to the Foreign Corrupt Practices Act. Amortization of intangibles related to our acquisitions recorded in SG&A in the fourth quarter was approximately $2.3 million, down slightly from the year ago period. Research and development expense in Q4 was 9.3% of sales or $55.8 million. The increase in spending from the third quarter is reflective of our investments in the development of new products for diagnostic markets such as diabetes monitoring and blood typing. Interest and other for the quarter was a net expense of approximately $7.8 million compared to $8 million last year. The fourth quarter interest expense declined $6.6 million year-over-year, the result of our bond redemption last quarter. When comparing to last year, remember that we recorded a onetime gain of $4.3 million in 2012 for the sale of a building and land. The effective tax rate used in the fourth quarter was 32% and in line with our guidance. Reported net income for the fourth quarter was $30.1 million or $1.04 per share on a fully diluted basis compared to $43.3 million last year or $1.51 per share. Excluding the FCPA-related accrual, we estimate that fully diluted earnings per share would have been $1.37 for the quarter. Our Life Science group reported record sales for the fourth quarter of $220.5 million, a growth of 8% versus last year. On a currency-neutral basis, sales increased an impressive 9.4% for the quarter. These quarterly results reflect strong sales of our new Digital PCR system, the QX200, as well as our newly introduced NGS (sic) [NGC] chromatography and S3 Cell Sorter system. And as I mentioned earlier, sales of our new antibody products were $6 million for the quarter. Excluding these acquired sales and currency effects, organic growth for our Life Science group was still a healthy 6.5% in the fourth quarter. On a geographic basis, sales grew across many regions, most notably in the emerging markets, North America and Europe. Strength in the top line, combined with good expense management, helped to push segment profit for the Life Science group significantly higher to more than $15 million. Our Clinical Diagnostic group also achieved record sales for the quarter of $377.9 million, compared to $365.9 million last year, an increase of 3.3% on a reported basis and 3.6% currency neutral. These sales were led by continued strong performance in the quality controls and diabetes product lines, as well as solid growth for BioPlex 2200 revenue. On a geographic view, Diagnostic currency-neutral sales for the quarter increased, most notably in China and the emerging markets. Reported fourth quarter segment profit for Diagnostics was $45 million. Looking at the full year results. We are pleased to report annual revenues of $2,133,000,000, an increase of 3.1% versus last year on a reported basis. On a currency-neutral basis, sales for the year grew 3.9%. Excluding the addition of AbD Serotec, the organic currency-neutral sales growth for the full year was 2.7%. Our Life Science group posted annual sales of nearly $710 million, an increase of 3.1% versus 2012 and growth of 4.5% currency neutral, including $24 million of sales contributed by our new antibody business. This sales growth was also fueled by continued strong sales of our Digital PCR product line where the installed base now exceeds 500 units. We also saw a good annual growth in our process media and equipment products, as well as good growth in the emerging market. However, with the continuation of a challenging research funding environment, coupled with our distributor transition in China, the annual organic sales growth for Life Science in 2013 was 1.1%. For the year, Clinical Diagnostics sales were $1,408,000,000, a growth of 3.1% on a reported basis and 3.6% on a currency-neutral basis. This growth was fueled by continued momentum in quality controls and diabetes monitoring products. On a geographical view, China, Asia Pacific and the emerging markets showed excellent growth for the year. Total company gross margins for the full year was 55.3%, which compares to 55.8% in 2012. The decrease in margin versus last year is primarily the addition of $5 million of acquisition-related amortization expense in our Life Science segment. Total amortization of intangibles and purchase accounting recorded in cost of goods sold in 2013 was $33 million. SG&A expense as a percent of sales was 37.4% for the year and higher than we estimated at the beginning of 2013, driven primarily by the $30 million FCPA accrual. Excluding the accrual, SG&A, as a percent of sales, was 36%. Other drivers of the higher expenditures when compared to the prior year were the result of increased spending for our global ERP projects, including amortization, as well as the addition of the Serotec business. Also remember that last year, we recorded a $16 million reduction in the QuantaLife earn-out valuation as well as the bad debt allowance reduction of more than $6 million for Southern Europe. Both of these contribute to a tough compare for 2013. SG&A expense for acquisition-related amortization was $8.8 million for the full year. Research and development expense in 2013 was $211 million or 9.9% of sales. This increase is a direct reflection of our investment in new products for the diagnostic market, including blood typing, blood virus and diabetes monitoring. Looking to 2014, R&D expenses as a percentage of sales will likely stay at that 9% to 10% level as we move a number of investments through the product development pipeline. Net income for the full year was $77.8 million versus last year's net income of $165.5 million. As we guided at the beginning of the year, the decline in net profit relates to our investment in new IT systems as well as the addition of a AbD Serotec and the new cell sorting technology. These planned expenditures, coupled with the FCPA accrual, result in a net margin of 3.6%. The effective tax rate for the full year 2013 was 30.8%. For 2014, we expect that the effective tax rate, excluding any discrete items that may occur, to be in the 32% to 34% range. This higher range reflects the change in accounting treatment for some of our French tax credits, which we discussed with you in the third quarter as well as the current uncertain outcome of extending the federal R&D tax credit. For 2013, Bio-Rad's balance sheet also remained strong. As of December 31, total cash and short-term investments were $609 million compared to $920 million at the end of last year. The decline in cash balances year-over-year is primarily the result of the third quarter bond redemption and associated cash outlay of $312 million. Net cash generated from operations during the fourth quarter was $72.5 million and $175.5 million for the full year 2013. The year-over-year decrease in cash flow is the result of higher investments in IT and inventory, as well as higher interest payments associated with the redemption of the bond. EBITDA for 2013 remained strong at more than $320 million, which includes $93.5 million of EBITDA in the fourth quarter. Net capital expenditures were $29.7 million for the quarter and $111.8 million for the full year and in line with the range we've discussed on the third quarter call. The full year spend is below the $140 million to $150 million range we estimated at the beginning of 2013 and driven by lower-than-expected ERP expenditures as we took the time to focus on stabilization of our first deployment before embarking on the implementation of the rest of the United States. Looking to 2014, we estimate that CapEx spending will be in the $140 million to $150 million range, primarily reflecting the resurgence of investment in deployment 2 of our ERP project. And finally, depreciation and amortization for the quarter was $42 million and $147.2 million for the full year. Looking to 2014, we see both opportunity and challenge. The momentum we are seeing in many of our Life Science product lines is encouraging for future growth. In addition, uncertainty in the research funding market seems to be clearing, at least a little. On the challenge side, we continue to face the decline in Europe for our Diagnostics group, fueled by price pressure and government tenders as well as laboratory consolidation in France, our largest European market. The net result of the opportunities and challenges leads us to the expectation of growth in 2014 similar to what we saw in 2013. That is, around 2.5% on an organic currency-neutral basis for the full year. With regard to margins, we are hoping to hold the full year gross margin basically flat, around 55%, despite price pressure across several product lines in the region. Looking to the operating margin outlook. We view 2014 as another year of investment in IT and ERP, new product development and growing our newly acquired businesses. Our full year expectation is for an operating margin around 9%, which represents some improvement over '13 on a reported basis, but clearly reflective of our investment mode. When thinking about our net margin for the full year of 2013, I mentioned earlier that the effective tax rate will likely be in the 32% to 34% range, but also remember that we have reduced our annual interest expense burden by $24 million, which should bode well for a sizable increase in net income versus 2013. Before I turn the call over for questions, I want to make sure that you saw in our press release that we will be delaying the filing of our 10-K to allow adequate time for KPMG to complete their procedures. We will file as soon as practical. And now we are happy to take your questions.
Operator: [Operator Instructions] The first question we have comes from the line of Dan Leonard from Leerink.
Daniel L. Leonard - Leerink Swann LLC, Research Division: I guess, for starters, I could the math, but I'm in transit right now. Christine, what do all the components of your guidance roll up to in EPS number?
Christine A. Tsingos: Dan, as you probably know, EPS is not a number that we guide to. We haven't historically and we don't intend to. We try and give some margin help.
Daniel L. Leonard - Leerink Swann LLC, Research Division: Got it. Okay. Well, then, a couple of questions on the quarter. What specifically was the mix headwind, which weighed on gross margin in the quarter? Was it the Digital PCR business coming in at much lower margin than the balance? Is it something different?
Christine A. Tsingos: No, I think product mix, which is typical of our fourth quarter. Oftentimes, it'll shift more heavily towards instruments, which do carry a lower gross margin. In this case, I think most of the pressure we felt was on the Diagnostics side of the business where the instrument placements in Q4 were pretty sizable. And then also the onetime expense associated with some consolidation of manufacturing sites.
Daniel L. Leonard - Leerink Swann LLC, Research Division: Okay. And then...
Christine A. Tsingos: And the other thing, Dan, remember that last year we didn't have the med device tax, too, and that's a burden, $1.5 million to $2 million a quarter for us, as well.
Daniel L. Leonard - Leerink Swann LLC, Research Division: Sure. Even when I back out the manufacturing consolidation and take into consideration the typically heavier instrument quarter, it still came in a little bit light versus what we are looking for, so I was wondering if there was something specifically to call out. But that's fine. On Digital PCR, since you called out the installed base there, which was pretty good, what are the main applications where that product line is getting traction?
Bradford J. Crutchfield: This is Brad. I'll take this. Clearly, infectious disease is an area, general pathogen detection, but really, around oncology and rare event detection. I mean, what people are finding is that there's certain applications that can be done with Digital PCR that just couldn't be done before. And we're seeing a lot of traction in that area.
Daniel L. Leonard - Leerink Swann LLC, Research Division: And then my final question, and I'll lend the floor to somebody else. What's on deck from an ERP implementation standpoint in 2014? The spend sounds like it's going up. Do you plan to go live with another module or in another country? What's the expectation there?
Christine A. Tsingos: So our current expectation is that we will spend 2014 doing the design and blueprinting for what we call deployment 2, and deployment 2 brings in the rest of the U.S. You may remember that our first deployment was small portion of our U.S. business so we could run our test case on the global design, et cetera. This year, we will be working on the design for the rest of North America, for the most part, and hopefully we'll go live with that in 2015.
Operator: Your next question comes from the line of Brandon Couillard from Jefferies.
S. Brandon Couillard - Jefferies LLC, Research Division: Christine, in terms of the organic growth outlook, any chance you could give us more color on the Life Science versus Diagnostics, what's baked into the 2.5%?
Christine A. Tsingos: A little bit, Brandon. And as I mentioned, I think the momentum for Life Science is picking up or even starting to see signs of life in Europe. So our expectation is that growth, organic growth, should accelerate as we move into 2014. Having said that, on the Diagnostic side, which represents 2/3 of our sales, the headwinds are pretty strong. Europe is a huge portion, almost a 1/3 of their total revenues and it's a tough market. We're actually anticipating that it will be down for us next year. And so I think the net of those 2 is what's keeping our current expectation to be very similar growth rate in 2014 as we saw in 2013.
S. Brandon Couillard - Jefferies LLC, Research Division: And then in terms of the P&L, could you quantify the ERP-specific expenses that were both in the income statement in '13 and then what you're contemplating for '14?
Christine A. Tsingos: Brandon, I don't have that in front of me right this minute. So let me see if I can get that and then I'll come back a bit.
S. Brandon Couillard - Jefferies LLC, Research Division: Okay. And then in the Life Science business in the third quarter, I know chromatography tended to be lumpy from time-to-time. Was there an unusual order or lumpy booking in the period?
Bradford J. Crutchfield: This is Brad. I think, in general, we had a stronger fourth quarter in systems or hardware. But in general, there wasn't anything really that stands out between the third and fourth quarter for process chromatography.
S. Brandon Couillard - Jefferies LLC, Research Division: Got you. And then, Brad, just on the Digital PCR placements, can you give us a sense of what your expectation is for the annualized consumable stream per system at, let's say, steady state?
Bradford J. Crutchfield: Well, we're seeing something in the range of sort of 20% to 25% of the revenue coming from consumables. And one of the things that's very encouraging is we watch the placements of these instruments in the sense that this is fairly unique within a life science context of a closed platform. We have a pretty good measure of how these instruments are being used and they're being used quite heavily. So that's a very encouraging sign for our future.
S. Brandon Couillard - Jefferies LLC, Research Division: Okay. And last one for Norman. There's been several assets sort of in the space, both in Diagnostics and Life Science, that have traded recently. Can you just give us a view on your sense of the pipeline? And what's the chance that we actually see some activity, either bolt-on or something of magnitude, here in '14 on the M&A front?
Norman D. Schwartz: Of course, as you know, we've got about $600 million in cash that we'd obviously like to deploy. We've been kind of pretty careful of not letting that burn a hole in our pocket in the meantime as we bid on assets in '13. I would say that it seems that there's not a tremendous amount in the pipeline at the moment. There are a few things out there that we were kind of taking a look at, but it's not -- the funnel is not as full as it has been in the past. Having said that, there are a couple of interesting things that we are looking at and hopeful that we can land something.
Operator: [Operator Instructions] The next question we have comes from the line of Jeffrey Matthews from RAM Partners.
Jeffrey Matthews - RAM Partners, L.P.: Wondered if you could just kind of take a trip around the world. You called out good business in emerging markets. Could you talk a little bit about areas of strength?
Christine A. Tsingos: Sure. Maybe we can talk about it -- what we're seeing in the group.
Bradford J. Crutchfield: This is Brad, and we'll talk about Life Science. [Technical Difficulty] Are you still there? Okay. So actually we did see a turnaround in North America, certainly as we settled the government sequestration that appeared to be ending, and ultimately, that helped a little bit in the US. Europe was strong for us. And Europe has been kind of returning and coming back online as governments sort of rationalized their austerity measures. We saw particularly strong growth in the emerging markets, specifically in Russia. We've invested a lot there in building out a direct sales organization. We were still tempered a little bit as we've made this transition in China and kind of getting that behind us in the fourth quarter. And Japan did pretty good for the fourth quarter, again with pushes of major currency headwind there.
John Goetz: This is John on the Diagnostics side. With respect to North America, our business there is growing and we're focusing a largely amount of our time in the controls and diabetes area as well as immunohematology. Is a transition over to Europe? That is really one where we are challenged. I think, as Christine mentioned, we have price pressures there as well as lab consolidations in the segments that we're in, blood virus being one of the ones that's really, I would say, the area that we're most challenged in. With respect to the emerging markets of Eastern Europe and then as you go into the Asia area, we're doing quite well in all of our segments, particularly diabetes. We're seeing those markets evolving in the area of quality control as more and more hospitals and laboratories are interested in implementing quality control in those markets as well as in immunohematology. We had some very nice placements in the fourth quarter and that did hurt our margins a bit, but we look forward to getting the reagent streams in the future.
Jeffrey Matthews - RAM Partners, L.P.: Great. That's terrific. And then could I ask Norm what the biggest surprise that you saw since 2013, plus or minus? And then what you're really particularly focused on in 2014?
Norman D. Schwartz: Well, I think Brad alluded to the distributor changeover that we had. I think that we were a little bit surprised by the magnitude of the impact that, that had. And I would also say we're a little bit -- well, maybe we shouldn't have been surprised, but surprised by the government shutdown, which also took its toll on the Life Science business. Sequestration, we had a kind of a sense that was coming, but the shutdown later in the year was a big surprise for us.
Jeffrey Matthews - RAM Partners, L.P.: Right. And then what are you really focused on in '14, most particularly?
Norman D. Schwartz: We're focused on -- I mean, certainly, the top line and in trying to grow the top line, especially in these emerging markets areas where we seem to have some pretty robust markets. And internally, also working on the cost side of the equation, looking at our whole kind of the product delivery, how we can more effectively and efficiently deliver the products to the customers. We call that internally our logistics kind of pipeline. And the kind of ringing costs out of the manufacturing organization. Those are some of the things that we're focused on.
Jeffrey Matthews - RAM Partners, L.P.: Are those kind of things -- don't they -- is that something you have to do the ERP first and see what...
Norman D. Schwartz: I think that, obviously, you get benefit out of the ERP. But I mean, there are lots of projects that we've got going on that are independent.
Jeffrey Matthews - RAM Partners, L.P.: Okay. And then could I finally follow up on the ERP and how it's -- how -- what your experience has been thus far into it, plus or minus?
Norman D. Schwartz: I think the experience has actually been quite good. We managed to turn on the first phase and the place didn't collapse like seems to happen at a lot of these things. A few teething problems, I will admit, as we proceeded during the year. But by and large, it's gone pretty well. And so I think that gives us a lot of confidence in the program that we've got and the ability to get deployment 2 done.
Operator: The next question is a further question from the line of Dan Leonard from Leerink.
Daniel L. Leonard - Leerink Swann LLC, Research Division: I just thought since this is the year-end call, I wanted to touch on a couple of product cycles, I don't think we've talked about in little while. So first off, on the BioPlex 2200, you called out the strength there, presumably in autoimmune. Can you remind me where you're at with your menu expansion plans on that instrument? What's on deck for maybe '14 or '15 in terms of broadening that menu?
John Goetz: Yes, we're continuing to broaden it in the autoimmune area. We simply released our celiac test in the United States. It's been on the market since early 2013 outside the U.S. And then we're continuing to work on developing the infectious disease or serology line on that platform.
Daniel L. Leonard - Leerink Swann LLC, Research Division: And any thoughts around the timing on moving your blood virus testing over to the BioPlex channel?
John Goetz: No. Like I said, it's a development process and we're, like I said, we're working on it now. We have hopes that in the coming year we'll be able to have something available.
Daniel L. Leonard - Leerink Swann LLC, Research Division: Okay. And then the other one I wanted to touch on. Bringing your immunohematology DiaMed product line to the U.S, I know you have a presence in the U.S. for the Biotest business, but what are your thoughts on migrating DiaMed over to the States?
John Goetz: Yes, that is clearly in our plan to do that and we're working away at it now. We have a number of initiatives in that area. It is an area of investment for us and has been. I think one of the things that we're focusing on in Diagnostics is to deliver some of these chronic systems to the market that we had targeted. So we're working hard at that. Some of these things are hard to predict because they have a pretty high hurdle in the regulatory area, so I'm a little bit reluctant to try to predict exactly when that's going to happen.
Operator: [Operator Instructions] There are no further questions in the queue at this time.
Christine A. Tsingos: Okay. Thank you, Ben, and thank you, everyone, for taking the time to join us today. Bye-bye.